Operator: Good afternoon. Thank you for joining today's call. With me today are George Colony, Forrester's Chairman of the Board and CEO; Michael Morhardt, Forrester's Chief Sales Officer; and Mike Doyle, Forrester's Chief Financial Officer. George will open the call. Mike Morhardt will follow George to discuss sales. Mike Doyle will then follow Mike Morhardt to discuss our financials. We will then open the call for Q&A. A replay of this call will be available until August 29, 2014 and can be accessed by dialing 1888-843-7419 or internationally 1-630-652-3042. Please reference the pass code 9233923 pound. Before we begin, I'd like to remind you that this call will contain forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Words such as expects, believes, anticipates, intends, plans, estimates or similar expressions are intended to identify these forward-looking statements. These statements are based on the company's current plans and expectations and involve risks and uncertainties that could cause future activities and results of operations to be materially different from those set forth in the forward-looking statements. Some of the important factors that could cause actual results to differ are discussed in our reports and filings with the Securities and Exchange Commission. The company undertakes no obligations to update publicly any forward-looking statements, whether as a result of new information, future events or otherwise. I'll now turn the call over to George Colony.
George Colony: Good afternoon and thank you for joining Forrester's Q2 2014 conference call. After I get my commentary on the quarter Michael Morhardt, Forrester’s Head of Sales will update on improvements in the effectiveness of performance of the sales force. Following Mike's remarks, Michael Doyle, our CFO would give a financial summary of the quarter and finally we'll all take questions. While there is still not much work to do, there are indications that our efforts to return the company to traditional growth profitability levels are gaining traction. As in the first quarter bookings in revenue continue to strengthen, highlighting improvements in the selling and delivery organizations. At mid year we are running ahead of our plan. Due to the gradual improvement in our business we are increasing our full year revenue and EPS guidance, Mike Doyle will give more details on these changes in his remarks. The foundation of Forrester’s recovery is our strategy of helping large companies succeed in the age of the customer. Our research focuses on supporting the efforts of our clients to win, serve and retain their increasingly demanding empowered digital customers. This unique strategy is elevating our relevance of clients and increasing our market profile. Evidence of this traction was front-end center at our board of clients meeting held in June from IBM to United Healthcare to MetLife. The pressures of demanding customers are pushing large corporations to rethink their organizations, product development and go-to-market tactics. Empowered customers are causing revolution within corporations and they’re turning to Forrester to help them navigate these turbulent waters. I’d now like to update you on segments of our business, starting with sales. The largest groups in the sales force North America West, North America East and premier accounts are having good years propelled by customer related challenges within our clients. On the international front, sales in Asia Pacific remained strong although Europe weakened for us in the quarter, reflecting continued execution challenges in that region. New business showed an amazing surge late in the quarter indicating that this type of the business is recovering and is poised to show improvements in the second half of 2014. Of the eight sales regions, five met or exceeded their Q2 plan. To capitalize on our market opportunity, we are hiring new sales people in key territories ahead of plan. Local reps are showing higher productivity and the ability to ramp faster than remotely located sales people. Turning now to research. Our each of the customer strategy is transforming both the process and content of our analyst teams. At the end of 2013, 35% of our research content focused on winning, serving, retaining empowered customers. By the end of Q2, 75% of all new content transitioned and we are on track to raise it to 95% including playbooks by the end of 2014. In addition to shipping our content, we are increasing document production. The number of documents produced has increased 69%from Q2 of 2013. And this as you might imagine is increasing viewership of our research and we saw this trend continue in the second quarter. The expansion of research outputs and the transition and focus has been driven by two factors: Number one, the disciplined operational work of Cliff Condon, the Chief Research Officer; and two, the shift and consulting from analysts to the growing team of dedicated professional consultants. While the transition of the organization is still a work in progress, Cliff is on plan to build the research engine that can address the broader array of challenges that our clients are facing in the age of the customer. Our move to build out a professional consulting organization also remains on track. The team now consists of over a 140 full time members and over -- 30 of which have been hired since April of this year. This rapid scaling of the business has led to consecutive quarters of over performance on both consulting bookings and revenue and our consultant led delivery totals grew by 145% year-over-year in Q2. The team headed by Victoria Bough is designing a standard operating model for research based consulting, this is the unique style of projects that leverage Forrester’s extensive content and data. By the end of 2014, research analysts will no longer be providing consulting projects, but project consulting group will have full responsibility for that work. I’d like to spend a few moment on products and pricing. As many of you know for the past seven years, Forrester has used its customer experience index also know CXI to benchmark how customers rated their interactions with hundreds of brands in the U.S., Europe and China. CXI has become an important metric for brands that are comparing themselves against competitors and also against world class performers. A few data points from the 2014 CXI results in the U.S. Southwest is the highest rates airlines, USAA the highest rated bank and -- lead healthcare providers. Tmall has the highest customer experience index of Chinese retailers, dm-drogerie markt leads German brands, Marks and Spencer leads UK brands, and Eli Clark is a top French brand. Until now CXI was available as part of our marketing and strategy worldview product. We announced that our customer experience forum in New York in June, by the way this was the largest forum in Forrester’s history the Forrester will be offering CXI as a new and separate product featuring an updated methodology and it will be available late in 2014. CXI is expanding for being a simple metric into a framework that delivers deeper insights into what matters most in the CX loyalty equation. Companies could use this due framework as a foundation for the CX measurement programs and as a tool to inform all aspects of their CX efforts. And I will be periodically updating investors on this new product over the next few quarters. And finally on products on July 1 the company rolled out a 4% to 6% price increase across all products and this is in keeping with the company’s customary pattern of raising prices at midyear. Turning now to capital structure, since 2013 we have purchased approximately $173 million of outstanding shares and our share count has been reduced to just under 18.5 million shares. While this has been an important effort to right size our capital position our priorities in order of importance remain number one to reinvest in the business, two acquisitions and three, returning value to our shareholders by buybacks and dividends. As a note our portfolio of acquisition targets has been growing over the last two quarters and we remain very proactive in the M&A Markets. So to conclude, our recovery plan is well underway and I'm pleased with our results for the second quarter. That said there is still much more to be done and I anticipate that we will continue to have periodic setbacks punctuating our advances. But through all of this our nose of travel continues to be helping our clients win in the edge of the customer. Thanks very much and now I'd like to turn the call over to Mike Morhardt, Forrester's Head of Sales. Mike?
Michael Morhardt: Great, thanks George. We continue to see positive signs on the sales front in Q2. Each quarter we are making progress on key areas of the sales organization and introducing new initiatives to improve our results. As George mentioned, in Q2, five of the eight sales teams hit plan and achieved year-over-year growth. We saw an acceleration of growth in our largest accounts. We saw strong and now consistent performance in North America and Asia-Pacific. We saw continued gains in our key verticals like government, financial services, retail and our agency business and we also saw a rebound in our new business organization. Key metrics that we track also show good signs of continued progress. Sales attrition was up a bit, but it was driven by planned increase of consistent performance management. Discounting was down for the sixth quarter in a row. Sales productivity was on track and sales headcount was up 5%, since the first of the year. The overall percentage of reps hitting their first half plan has improved by 20 points. As we mentioned in the last call, we are encourage by the results in the key metrics but we still have work to do. For example our European business had mixed results with some teams performing above the expectations and some below. This continues to be an area of focus and we are encouraged that the changes that we made in Q4 of 2013 and Q1 of this year are starting to take hold. One key area of focus for Forrester and the sales organization in Q2 was capitalizing on the edge of the customer opportunity. The entire sales organization was certified on our market position and product portfolio in Q2. The sales team is now armed and our clients are responding to our messaging. Sales expansion plans remain on track with more sales people added in various geographies to get us closer to our clients. From recruiting to territory creation the sales expansion engine is running as planned. We continue to see improvements in sales rep productivity for those reps who have joined us over the past 18 months. Finally our efforts to improve client renewal rate are gaining stein. To the adoption of our client engagement model we are seeing signs that clients are more engaged which leads to stronger renewal and accelerated enrichment opportunity. Our focus remains the same. Thoughtful geographic sales expansion and a relentless focus on improving productivity. Q2 represented progress on both fronts, but for every area we improve there are many others that we will turn to in the second half for focus. With that I'll turn it over to Mike Doyle for the financial update.
Mike Doyle: Thanks Mike I'll now begin my review of Forrester’s financial performance of the second quarter of 2014. Including a look at our financial results, the balance sheet at June 30th, our second quarter metrics and the outlook for the third quarter and full year 2014. Please note that the income statement numbers I am reporting are on pro-forma. And they exclude the following items, amortization of intangibles, stock based compensation expense, reorganization costs and net gains and losses from investments. Also for 2014 we are utilizing an effective tax rate of 38% for pro-forma purposes. The second quarter Forrester met revenue pro-forma opt margin and EPS guidance. As George mentioned in our press release and his comments we maintained our positive momentum on top-line performance as bookings and revenue continued to grow year-over-year in the second quarter. As a result we are raising our full year revenue and EPS guidance. I will address each of these points in more detail in my commentary. Regarding Forrester’s top-line performance, revenue growth continued to accelerate with overall revenue growing 5% driven by double-digit growth in advisory and event services revenue. We are beginning to realize the benefits of the additional consulting headcount we added both last year and at the beginning of this year. In addition with the continued increase in sales headcount we expect to see accelerating growth in research services revenue in the second half of 2014. We remained active, repurchasing our shares during the second quarter spending $25.2 million to buyback approximately 684,000 shares. Now let me turn to a more detailed review of our second quarter results. Forrester’s second quarter revenue increased by 5% to 82.9 million from 79 million in the second quarter of 2013. Second quarter research services revenue increased 2% to $52.3 million from $51.3 million last year and represented 63% of total revenue for the quarter. Excluding declines in data revenue which were driven mainly by our discontinued Tech Marketing Navigator product, research services revenue grew by 3% compared to the second quarter of 2013. Second quarter advisory services and event revenue increased 11% to 30.6 million from 27.6 million in the second quarter of 2013 and represented 37% total revenue for the quarter. The continued expansion of our project consulting organization is helping to fuel the growth and delivery on project engagements and advisory. Combined our research and consulting organizations accounted for 40% advisory and project consulting revenue growth while non-syndicated data and events revenue again experienced healthy growth in the quarter. International revenue mix was 25% for the period ending June 30, 2014, unchanged compared to the same quarter last year. Excluding the positive impact of FX, international revenue mix was down with strong performance in Asia-Pac offset by weaker performance in Europe. I would now like to take you through the activity behind our revenue starting with research. During the second quarter, Forrester's playbook count remains unchanged at our targeted level of 63. In the second quarter, 423 new research documents were added to review and we hosted 41 webinars, with the total attendance of 1,433. At the end of the quarter, the top three research roles where the CIO group with 6,338 members, application development and delivery with 6,074 members, the enterprise architecture group with 4,338 members. Forrester leadership boards are peer offerings for senior executives achieved a revenue increase of 3% year-over-year in the second quarter, driven by growth in our Marketing and Strategy board. As of June 30, 2014, Forrester leadership boards had a total of 1,656 members, down 12% from June 30, 2013 with declines in both our BT and M&S groups. Our data business continues to be a critical part of our value proposition. We survey over 400,000 consumers in 21 countries, representing 80% of global GDP and over 60,000 businesses in 10 countries representing 66% of global IT spending. Data provides our B2C and B2B clients with actionable insights on issues ranging from enhancing social media strategies to developing and deepening brand equity to aligning sales and marketing customers with customer demand. It also gives our analysts the most accurate and timely facts they need to drive their research forward. On a year-over-year basis, revenue decreased by 7% for the second quarter driven by 64% decline in our Tech Marketing Navigator product. Excluding the impact of Tech Marketing Navigator, data revenue was flat on a year-over-year basis. In our advisory and consulting business, total revenue for the first quarter increased by 14% versus prior year driven mainly by the expansion of our project consulting organization as well as strong advisory performance by our research analysts. Now turning to our Events business which had a very busy quarter. We hosted five forums in the second quarter of 2014. The forum from marketing leaders in the U.S. and in Europe, the forum for technology management leaders in the U.S. and Europe and we culminated with our largest event in Forrester history as George previously mentioned, the forum for customer experience professionals in New York. I will now highlight the expense and income portions of the income statement. Operating expenses for the second quarter were $73.1 million up 8% from $67.4 million the prior year. Cost of services and fulfillment increased by 9%, reflecting the continued expansion of our project consulting organization over the last 18 months and partially offset by lower incentive bonuses. Selling and marketing expenses increased by 7% due mainly to the continued growth of our sales force and the higher commission’s expense as our reps achieved better results compared to the second quarter of 2013. General and administrative costs increased by 13% driven by higher recruiting costs to staff our consulting and technology organizations as well as increased occupancy cost. Overall headcount increased by 6% as of June 30, 2014, compared to the same period last year. At the end of the second quarter, we had a total staff of 1,306, including a research and consulting staff of 489, and a sales staff of 500. Research and consulting headcount was up 10% versus prior year, but had 1% decrease compared to March 31, 2014. Total sales headcount increased by 7% versus prior year, and by 2% as compared to March 31, 2014. Sales rep headcount increased by 12% compared to the second quarter of 2013, while fully ramped sales rep headcount grew by 7% over the same period. Mike alluded to sales attrition spike in the second quarter driven primarily by ongoing performance management. Operating income was $9.9 million or 11.9% of revenue compared with $11.5 million or 14.6% of revenue in the second quarter of 2013. Other income for the quarter was 79,000, down from 255,000 in the second quarter of 2013. Net income for the second quarter was $6.2 million and earnings per share was $0.32 on diluted weighted average shares outstanding of 19 million compared with net income of $7.2 million and earnings per share of $0.33 on 21.7 million diluted weighted average shares outstanding in the second quarter of last year. Now I'll review Forrester’s second quarter metrics to provide more perspective on the operating results for the quarter. Agreement value which represents the total value of all contracts to research and advisory services in place without regard to the amount of revenue that is already been recognized. As of June 30, 2014, agreement value was 225.5 million, an increase of 7% from the second quarter of 2013. As of June 30, 2014, our total for client companies was 2,439, down 32 from December 31, 2013 and down 12 compared to the second quarter of 2013. Client count unlike our retention and enrichment metrics is a point in time metric at the end of each quarter. Forrester's retention rate for client companies was 75% as of June 30, 2014, an increase of 1% from March 31, 2014 and our dollar retention rate during the same time period held steady at 87% compared to the previous quarter. Our enrichment rate was 97% for the period ending June 30, 2014, also unchanged compared to the prior quarter. We calculate client and dollar retention rates and enrichment rates on a rolling 12 month basis due to the fluctuations which can occur between quarters with deals that closed early or slip into the next quarter. The rolling 12 month methodology captures the appropriate trend information. As of June 30, 2014, there were 2.3 roles per client which held steady compared to the previous quarter. Now, I would like to review the balance sheet. Our total cash and marketable securities at June 30th was $133.7 million, down $21.4 million from a $155.1 million at the year-end 2013, with the reduction due to the success of our share repurchase program which totaled $54.9 million of stock repurchased during the first half of 2014. Cash from operations was $2.3 million for the quarter, as compared to $1.7 million in the second quarter of last year. We received $2.6 million in cash from options exercised for the quarter as compared to $7.9 million in the second quarter of last year. We also paid a dividend in the second quarter, which amounted to $3 million or $0.16 per share. Accounts receivable at June 30, 2014 was $49.1 million compared to $39.8 million as of June 30, 2013. Our days sales outstanding at June 30, 2014 was 45 days, which is down slightly from 46 days at June 30th, of last year. And accounts receivable over 90 days of 6% at June 30th, of this year compared to 5% at June 30th, of 2013. Our capital spending for the second quarter of 2014 was $200,000 compared to $300,000 during the second quarter of last year. Deferred revenue at June 30th, 2014 was $143.9 million, up 6% over June 30, 2013. Deferred revenue plus future AR, a key indicator of future performance was up 3% compared to the prior year. Our future AR balances are amounted to be invoiced in the future for clients with multiyear deals or scheduled payment terms. I want to close my discussion with some comments on capital structure and pro forma guidance. Over the last 18 months the company has repurchased approximately 4.8 million shares at a cost of a $173.1 million. In addition, during the same time period, we have paid 18.5 million in dividends, which is resulted in returning $191.6 million to our shareholders over the last six quarters. With 133.7 million in cash on our books as of June 30, 2014 and with $26 million remaining on our share repurchase authorization and continued expectation of dividend payment. We expect to be close to the targeted $100 million in cash as George mentioned in his comments by the year-end of 2014. We have barked on this action as we were building the business to ensure we were maximizing shareholder value with our actions. We feel, we've made significant progress managing both the operational and capital structure aspects of our business. In closing, we have made significant progress in the first six months of 2014. The changes and enhancements to the sales, consulting, research and product organizations have taking hold and we are seen the results in both on our top-line and bottom-line performance. Given this momentum and the positive view we have about the market environment and our ability to add value to our clients we are increasing our full year revenue and earnings per share target. In addition, we are increasing our 2014 hiring targets for sales and consulting headcount. We're increase in our full year EPS guidance despite absorbing a few unplanned costs which included the following; hiring of the additional sales and consulting have just mentioned which will total approximately $500,000 to one-time items that impacted expenses by approximately $600,000 a depreciation adjustment to correct prior year error and exit costs for terminating the partner relationship in Europe. Increased candidate acquisition costs primarily in sales and consulting which totaled approximately $800,000. And finally, as we have previously shared with you we are implementing a new CRM system at Forrester, the core system is in place and running and we are enhancing its functionality with a number of additional modules. We changed our approach for implementing one of the more significant modules which has resulted in a greater percentage of cost hitting operating expense versus being capitalized. The impact of these costs is approximately 2.3 million. We expect the total impact of these items will be $0.13 per share for the full year. We have made a number of reductions in other areas to help offset the impact of these expenses and as I previously mentioned we plan to raise our full year revenue and EPS guidance. Let me take you through the specifics of our guidance for both the third quarter and full year 2014. As a reminder our guidance excludes the following amortization of intangible assets which we expect to be approximately $500,000 for the third quarter and 2.2 million for the full year 2014. Stock based compensation expense of 1.9 million to 2.1 million for the third quarter and 7 million to 7.5 million for the full year of 2014. Reorganization cost of approximately 1.9 million for the full year of 2014 and any investment gains and losses. For the third quarter we are aiming to achieve total revenues of approximately $73 million to $76 million. We expect pro-forma operating margin of 9% to 11% a pro-forma income tax rate of 38% and pro-forma diluted earnings per share of approximately $0.22 $0.26. For the full year as I previously mentioned we are raising our revenue and EPS guidance as follows. Total revenues of approximately 310 million to 315 million. Pro forma operating margin of 9% and 10%. Pro forma income tax rate of 38% and pro forma diluted earnings per share of between $0.95 and a $1.01. We have provided guidance on a GAAP basis for the third quarter and full year 2014 in our press release and 8-K filed today. Thanks very much, and I'm now going to turn the call back over to the operator for the Q&A portion of the call.
Operator: Thank you. We will now begin the question-and-answer session. (Operator Instructions). And we have Tim McHugh online with a question. Please go ahead.
Matt Hill - William Blair: Hi, this is Matt Hill in for Tim McHugh this afternoon. Just a question on the guidance, it sounded like it was a general better outlook for the second half of the year than what you had initially expected, but is there anything particular in the second quarter that led you to do that or is there any type of split between maybe the research and consulting that is exceeding our expectations at this point?
Mike Doyle: Hey Matt, this is Mike Doyle. I would say a couple of things. One I think you’ve hit on both of them. We don't get bookings, you can see both the navi and deferred revenue. What we've been happy with what's happen our booking performances ahead of what we had expected which tends to sort of highlight that we'll probably pickup some better performance in syndicated revenue in the back half of the year and both consulting and advisory and events continue to exceed our targeted levels for them. So I think all of those factors despite some of the comments Mike made about specific regions think overall we're getting just really strong performance out of those areas that I just mentioned and strong performance out of most of our sales growth. So at this point we felt comfortable bringing up revenue guidance for the full year.
Matt Hill - William Blair: Okay. And you also mentioned increase in your hiring expectations on the consulting side and on the sales force side. Is there any more color you want to give on that, just the pace of hiring or specific regions or areas that you're really interesting in adding more capabilities in?
George Colony: I'll give some preliminary comments, I will let Mike get the specific. Although I don’t think we've gotten as granular on the regional piece, but with our business I think when we laid out the year I don't recall if we put this in our upfront call. But we always felt as if we got momentum going by mid year and we were confident in what we were seeing. We would begin hiring ahead. And the hiring is going to come primarily in sales, but given if you think about the nature of our business now where we hire now it is going to take us let's say six months to get people ramped accessed by early next year throughout in their producing force. So it's just good business sense. And again what we're seeing in the marketplace and something as George motioned we like what we see in the marketplace we like our capability to help satisfy client’s needs. And so I think we felt very bullish on looking forward to trying bring on some more headcount.
Michael Morhardt: Yes, Matt. And I will just add on the sales front, the planned hires are across every geography, across every market segment from our largest accounts to our insight sales models. And we're really just targeting those particular territories that we feel going to be the most productive. And so we have prioritized those and we just been sort of running that play for the last 12 months.
Matt Hill - William Blair: Okay, great. Those are my questions. Thank you.
George Colony: Thanks Matt.
Operator: We have a question from Bill Sutherland. Please go ahead.
Bill Sutherland - Emerging Growth Equities: Hey thank you. I wanted to just get a couple of clarifications to start. George was talking about the consulting project group, maybe to Mike as far the headcount are being ahead at 630, so you -- I am not sure what the number was that you all said you’d reached in project consultants?
Mike Doyle: I think we did a good job Bill of not giving you a number but that was not by this time. So, I apologize on that front. If we stay with our traditional definition here, project consulting as a group is sitting at a 133, so that’s up 18 from just the prior quarter alone. So that continues to sort of move forward. And we’ve been happy about that. I think George has done a good job sort of pushing that group to get to targeted levels because it was critical for us to almost get ahead there because if you think about the transition that’s going on, we want a research analysts out of project consulting just doing advisory, writing great research, speaking at events, doing inquiries. So, there was a real push to get those folks in as soon as possible. And I think fortunately, we’ve been able to do that and the people we’ve brought on board are actually fantastic.
George Colony: It’s a very high quality group.
Bill Sutherland - Emerging Growth Equities: So you’re there as far as where you want that group today size wise?
Mike Doyle: Another seven hires. We’re almost there, but seven more hires between now and end of Q3. It will be a full staff. So we were running ahead of schedule but we’re not all the way up to the final number, but we will be there.
Bill Sutherland - Emerging Growth Equities: Now, help us think about the relationship of this rapid and I realize some of this activity is displacing revenue generated previously by your research guys. But how do we think about this very rapid growth in the consultant headcount and the advisory revenue outlook for at least the component of advisory that's project consulting? And then actually for clarification purposes, is that where that will all be groups like?
Mike Doyle: Yes. So in terms of if you think about our two revenue streams that we highlight, research is still our syndicated that bucket is still syndicated research. So it includes RoleView, it includes FLB, it includes the Data.
Bill Sutherland - Emerging Growth Equities: Okay.
Mike Doyle: But within the advisory and event services bucket, advisory services and event bucket that we have it includes both project consulting and our advisory. And the end game what you are seeing right now is we still have what I call the hybrid situation where we still have the analysts who do deliver project consulting that were all just shrinking dramatically right, the project consulting folks were bringing on or taking that on. The analysts will still do advisory consulting and our analysts have over performed on the advisory consulting side of it, the short one to two day kind of experiences, they've over performed. So when it's all done, I think where we going to get to, it's going to be more than sort of one-for-one equals two, I think what we're seeing is better productivity out of the analysts. I think the project consulting organization will drive more productive project consulting. And I think we're going to see better utilization even though we're going to a project consulting organization because we have at the moment a better work stream to fill than a typical consulting organization. So the hope is that one plus one here is going to more than two on this, Bill.
George Colony: Yes Bill the big picture is that at the end of the day we are going to get better research and we are going to get better consulting out of this new equation we built. And you can already see that in research right, 69% increase in the number of documents, readership is up, so the research is improving, more of it, it is better. And customer sat, research we are getting back from the consulting side shows that there is higher sat with the consulting products we are doing. So it’s good on both sides of the equation.
Michael Morhardt: And I think in Mike’s comment, but what we were finding before Bill is that our analysts were stretched so and we would get a great project consulting assignment and our ability to deliver that quickly with an analyst who was writing research and doing inquiry and maybe something else was difficult whereas by having a team I think is a greater confidence level that we can move quicker and get to things but I will let Mike comment maybe a little bit on that.
Mike Doyle: Yes. All of those things that Mike mentioned and plus as George mentioned, the satisfaction is up, the size of the deals are up across the broad the sales people feel very comfortable when selling consulting now, knowing that the resources are at the background of delivering consulting projects and the clients are very satisfied with it.
Bill Sutherland - Emerging Growth Equities: Yes, I mean being an analyst, I am tempted to take your consultant headcount times are reasonable, sales number. And it seems like you’d have incredible acceleration as these guys get productive but and that’s where I get filed up knowing how much they are kind of just replacing with the research people that are handing it over.
George Colony: There is definitely an element to that Bill and will tell you probably our own internal model is evolving. I would say that it is better than what we had expected. But there is no question, there is a, when you look at it theoretically, you would say alright. So they are picking up project consulting work that research folks use to do and therefore we've essentially just added a cost delivered the same revenue we had before right. And that's a way to look at it. What we're seeing though is we're expanding the amount of product consulting we can deliver and by the way we are getting more advisory consulting out of the analysts we have. And then the intangible on all of this which George was very direct about is as we write more research and higher quality research and we've got more touches what's the impact on role of research in terms of greater visibility which we're seeing and what is that translate into in terms of revenue. And that's the intangible it's hard to remodel, but it is very real.
Bill Sutherland - Emerging Growth Equities: Yes. Just a couple more, on events I noticed you had a whole bunch of more events last year's second quarter. Could you remind us did you all eliminate some small of them or moved them?
George Colony: What we did and it's a little bit of the accounts methodologies. We did combined some to hold them at the same sort of venue. So what happens is, it's not a direct drop in the numbers of events. We probably did term some tiny ones but then we also are co-locating a number of events.
Bill Sutherland - Emerging Growth Equities: So, what can you give us a rough idea to year-over-year comp for event revenue?
George Colony: I think overall revenue year-over-year is just down a bit if I recall.
Bill Sutherland - Emerging Growth Equities: Okay. I know how that can move around.
George Colony: Yes.
Bill Sutherland - Emerging Growth Equities: From quarter to quarter.
George Colony: Right. So actually revenues is up just a bit 2%.
Bill Sutherland - Emerging Growth Equities: Okay. And then Mike Morhardt, I was interested in like comment about Europe being stronger with some of the sales people and not. So it's not a macro issue as far as you guys can see?
Mike Doyle: No, it absolutely isn't built. We have -- we went to a different structure there more of a regional structure at the end of last year -- beginning of last year and made some changes on the leadership front in Q4 m Q1. We're starting to see the good signs of those changes that we've made but our work is not done. But by no means a macro economic trend the opportunity is there as George pointed out it's a question of execution.
Bill Sutherland - Emerging Growth Equities: Okay.
George Colony: The (inaudible) still is the Head of sales in Europe.
Mike Doyle: That's correct.
Bill Sutherland - Emerging Growth Equities: He is not in place yet Okay. And then just kind of looking at client the just the client totals every quarter going back. It has been kind of flattish declined a bit after the downturn but are you all kind of managing a little bit the retention of clients you want to retain. We're focusing on those and you're doing a little bit of a sorting process if you will. And that's one reason the clients are flat where it’s obviously trying to pick up?
Mike Doyle: Bill you are exactly right. That's exactly what we're doing. So the net new headcount that we've added over the last year has really been focused on moving these particular sales executives into regions so they can pick up accounts so the overall account load, a number of accounts per rep dropped because we feel strongly investing in the existing accounts is going to improve our revenues and our client retention and that's proven to be true. We have an expanded our new business efforts at all over the last year sort of maintain them. So overtime we'll start to address hat but the opportunity is still great with our existing client base, and we’re looking to improve retention first and reach those businesses and also bring on new clients but not at the same rates that we’ve done in the past.
Bill Sutherland - Emerging Growth Equities: All right. Okay. I think that covers it. Thanks guys, good work. I appreciate it.
Mike Doyle: Thank you.
George Colony: Thanks Bill.
Operator: And we have Vincent Colicchio online with the question. Please go ahead.
Vincent Colicchio - Noble Financial: Yes. You said that five of your eight segments in sales I think you said meet or beat expectations anything that we should be concerned about and the other three I am sorry for missing, is there any pattern I think I think you’ve done fairly well in recent quarters, but anything you can say would be helpful.
George Colony: Yes. I guess reading between the lines I think Vince you can see that there ones that we’re little worried about. So Europe continues to be an up and down story. As we mentioned we’re seeing some pockets some really strong performance and then some others that need we need to work on. New business as we mentioned we made some changes earlier in the year. We saw that rebound considerably in Q2 and they were just off a little bit at the end of the quarter and then we do have a group that focuses on our partner organizations either independent partners that we have we created a group just to focus on them, it’s not a huge part of our business, but we do count it as one of our sales organizations and they miss by a very small amount. So a couple of groups the new business part and the European part is the area that we continue to focus on the partner piece I am sure that it’s going to come back and it’s not a material part of the business.
Vincent Colicchio - Noble Financial: And then in terms of transitioning the sales force what portion of the sales force is now physically based where the accounts or located and when do you think the transition will be complete?
George Colony: It's great question Vince. I don't necessarily have the exact percentage. I would say over the last six months or for the first time in 2014, we have a decrease in a number of individual tier base in Cambridge, where we had a lot of our sales force located. But we continue now as we start to expand the sales organization, not necessarily targeting new cities, we do that, but it's doubling down in specific studies whether it’s Chicago or Denver or Seattle or LA where we might had a very small presence and now we're building a presence there. So most of the new hires are taking place and that’s just an inside sales executive, those hires are taking place in the field.
Vincent Colicchio - Noble Financial: Okay. And George or Mike I know that you mentioned that you have nice pipeline on the acquisition side. I know historically you guys had a lot time finding reasonably priced acquisitions. Has that changed at all?
George Colony: I think we've been surprised by the number of and I mean pricing from our step always feels reasonable event, just does. But the reasonable look at, reasonable pricing I would it's really not bad right now; I mean we have some good prospects out there. And I’m not announcing anything, nothing happened, but there is -- I’d say our portfolio is looking pretty good right now for the moment.
Vincent Colicchio - Noble Financial: Okay, that's it for me. Thanks guys.
George Colony: Thanks Ben.
Operator: And we have no further questions at this time. I will now turn the call back over to Mike Doyle.
Mike Doyle: Okay. Thank you very much. So thanks everyone for joining the call. Again, we are happy with the quarter but more happy that we're taking guidance up for both revenue and EPS. And we look forward to seeing a number of you when we get out on the road over the course. Thanks again.
George Colony: Thank you.
Operator: Thank you, ladies and gentlemen. This concludes today's conference. Thank you for participating. You may now disconnect.